Jürgen Junginger: And good morning, everybody. I’m pleased to welcome you to today’s conference call. Today’s agenda covers a review of our general situation, our results for the first quarter of 2022 and the outlook for the year. I’m joined by our CEO, Jochen Klösges; and our CFO, Marc Hess, who will take you through the presentation, which will be followed by a question-and-answer session. We are joined by Thomas Muller, Head of Finance and Controlling, who will assist Jochen and Marc in answering all these questions. And now, I’m pleased to hand over to Jochen. Jochen, the floor is yours. Thanks.
Jochen Klösges: Thank you, Jürgen. Ladies and gentlemen, I would also like to welcome you to today’s conference call. Today, my colleague, Marc Hess and I would like to share with you the current position of Aareal Bank Group and update you on our assessment of the group’s journal situation, we will, of course, also comment in detail on the results of the first quarter of this year. So let’s turn to Page 2. And so let’s start with the most important points and a quick overview. From an operational point of view, we have made a very good start to the year, despite the extremely challenging environment prevailing as a result of the Russian war of aggression against Ukraine. Our growth strategy is paying off across all segments of Aareal Bank Group. We have recognized a significant loss allowance for an outstanding loan in Russia, but overall achieved a good operating result. Our capital position remains very strong, following significant portfolio growth and we have successfully implemented our funding activities. We remain committed to driving our strategy forward without losing sight of the geopolitical and macroeconomic risks we are facing. So let’s turn to Page 3. As you know, the voluntary public takeover offer Atlantic BidCo made to our shareholders for €33 per share has been in progress since 26th of April, and this includes the dividend of €160 that we intended to propose to shareholders. This is the second takeover attempt by Atlantic BidCo, which is a company indirectly held by financial investors, Advent and Centerbridge, as well as other co-investors. The first offer failed in February as it did not achieve the necessary majority among our shareholders. So we subsequently put the takeover issue behind us continued to enhance our Aareal Next Level growth strategy and communicated new medium-term targets at our annual press conference at the end of February. However, a few weeks later, the same financial investors approached us again. And we were again obliged to check whether the prerequisites for a new offer enabled a waiver of the one year lockup period that applied in principle in these cases. As you know, we confirm this, as did BaFin subsequently, because there was a predominant probability of success with a second attempt by the financial investors. This was based mainly on the fact that the Bidder had received irrevocable tender commitments from Petrus Advisers, Talomon, Teleios, and Vesa, totaling almost 37% of our shares. Following a successful offer, these shareholders are expected to hold an indirect aggregate non-voting stake of up to 25% in the Bidder Company. As with the previous offer, the Canada Pension Plan Investment Board together with a selection of investment companies managed by Goldman Sachs will also be part of the Bidder’s investor group. Having secured commitments to accept the bid in advance, the chances of success are significantly higher than they were for the first bid. What is important to us is, that the strategic substance of the offer remains unchanged compared to the first attempt. We commented on this in detail at the beginning of April, when we entered into an investor agreement with the Bidder. This agreement forms the basis for future cooperation should the offer be successful. It is largely identical to the first offer, and has only been adjusted to the technical extent required. In addition, who joined reasoned statement of the Management Board and the Supervisory Board of Aareal Bank was made available on the 6th of May last week. Taking into account the fairness opinions available to us, the offer price is considered fair and adequate. And we recommend that shareholders accept the offer. Just like us, the Bidder sees potential for further growth across all parts of Aareal Bank on the basis of our strategy. To the best of their ability, the investors intend to support us in achieving this during the coming years. Accelerated growth will be facilitated in particular by combining extensive joint experience in the financial services, software and payment sectors, and by retaining profits in the next few years. The investors also want to develop and support Aareal Bank Group in its existing form. So now turn to Page 4. Ladies and gentleman, in approving the offer, we have given our shareholders the opportunity to participate, whether they do so is, of course, entirely their decision. And just for clarity, should our shareholders decide not to accept the offer, to the extent required the status quo until will remain. Then we will continue on our own, and there should be no doubt that we can do this especially falling in another very strong performance in the first quarter of this year. If this were to happen, we would also put the dividend which is included in the offer price of €33 back on the agenda for the next annual general meeting. The meeting was originally scheduled for the 18th of May, but we postponed it because of the offer. Once we know the result of the offer, an invitation will be sent out to our shareholders. In the meantime, the takeover process is continuing as planned in accordance with legal requirements. The acceptance period lasts up to and including 24th of May, according to the latest information available that was yesterday. The acceptance rate currently stands at 37.79%. It is important to note though that a large number of shareholders do not usually tender their shares until towards the end of the acceptance period. The Bidder has set a minimum acceptance level of 60% in the event that this level is reached or exceeded, the offer will have been successful. The Bidder expects the closing to take place in the fourth quarter of 2022, or in the first quarter of next year, subject to the necessary regulatory approvals. So that’s it for the takeover offer. Now I’d like to turn to our current business development, and we had to go to Page 5. You may remember, our annual press conference took place on the 24th of February, the day of the Russian invasion of Ukraine. The war has now been going on for 2.5 months and unfortunately, there is no end in sight to the suffering of the people in Ukraine. The mid- and long-term geopolitical and economic consequences of this war remain difficult to assess. On top of that the current lockdown in China could have a significant impact, demonstrating that the pandemic remains a major risk to the global economy. Growth forecasts for this year have already been downgraded across the broad, globally and for Germany, specifically in the event of a gas embargo against Russia. The economic scenario here at home is pretty bleak. Inflation rates have skyrocket, driven among other things by significant increases in commodity and energy costs, and it is unclear at the moment when this trend will reverse in the foreseeable future. What is also not clear at present is what the geopolitical crisis, with its many fold economic implications could mean for the property markets as a whole. To date, hardly any effects have been felt. This applies both to the demand for property and the larger markets that are relevant for us, as well as to prices, yields and transaction volumes. This is also reflected in the new business that we have originated during the first quarter. And we are also seeing attractive opportunities in the second quarter. So far this year, operating business has been going well. Our strategic growth initiatives across all three business lines are well on track. But we are keeping a close eye on the increased geopolitical and macroeconomic risks, which include of course sustained higher levels of inflation, and rising interest rates. In our Structured Property Financing segment, we increased our portfolio volume to €30.8 billion as of the end of March, thanks to very strong new business and that continues to be broadly diversified with an attractive risk return profile. This means that we have already almost reached the additional €1 billion that we targeted for this year. In the Banking & Digital Solutions segment, the volume of deposits rose to an all time high. We are continuing to drive forward targeted expansion of our product range and we are exploring new markets and client groups. For instance, through the acquisition of the FinTech CollectAI, we will have an expanded range of services in customer communication through AI supported solutions for interactive invoices and intelligent dunning. And last but not least, Aareon has continued to increase sales revenues, despite the ongoing switch to the SaaS and subscription model. This shows how firmly anchored into market. In addition, Aareon strengthens the partnership with Dutch PropTech Company OSRE B.V. by increasing its stake to over 50% as part of its international growth and M&A strategy. So, you can see, we remained well on track within our 3 business lines during the first quarter of this year, and the pursuing our growth plans in a controlled manner. And even – with even greater sensitivity to risk, which is very important. The key quality indicators of our commercial real estate portfolio specifically, the LTV, yield on debt and NPL volume, which would have been fallen significantly without the Russia effect have continued to improve structurally. We also continued to diversify our portfolio by placing a stronger focus on new business in the logistic property asset class. As already mentioned, a special burden resulted from the already outs – from the outstanding credit exposure in Russia. As communicated on the 24th of February our exposure that amounts to roughly €200 million for 2 modern office buildings in good locations almost fully let in Moscow. Although the client is solvent and willing to pay, we have now classified the loan as non-performing due to the sanctions on Russia – or from Russia, recognizing impairment of around €60 million. As a result, we have adjusted the market value of the office buildings to a level that is in line with the development of former crisis. Despite the burdens in Russia, and with continued portfolio growth, our capital ratios remain very strong. In the event of a successful takeover, the retained dividend would further strengthen the bank’s capital position, as the distribution is currently still included in the ratios. One thing I’d also like to mention is that we have been very successful on the funding side in the first quarter, including the issuance of our first green bond and having in mind that our quarters [ph] had to operate in a very volatile and complicated environment. So let’s turn to Page 6, overall, we’ve made a good operational start to the 2022 financial year, even if this is dramatically overshadowed by the developments in Ukraine and Russia. Despite the additional loss allowance, we are pleased to report good quarter results, thanks to a very strong income growth. We continue to consistently implement our strategy without losing sight of the risks. All of this is also expressed in the key performance indicators for the first quarter, which will now explain to you in more detail. Over to you, Marc.
Marc Hess: Yeah. Thank you very much, Jochen, and very good morning from my side to all of you too. As you have seen and heard, we were able to generate an operating profit of €30 million, despite a very significant write-down of €61 million that we took on our Russian exposure. We were able to largely digest that nearly reaching the previous year’s operating profit due to the significant top-line momentum we have created in successfully executing our strategy and a very good underlying development of our risk provisions to even more. And as promised, we have our costs under control, and we are growing at very low marginal costs, leveraging our platform. Looking at Page 9, you can see the momentum in the top-line that I just talked about, especially in net interest income, it increased dynamically as you can see it here and increase year-on-year driven – was driven by the portfolio growth obviously and very good margins that were above plan. But also Jochen mentioned that by our very successful funding transactions. Needless to say, we haven’t compromised on the risk criteria. So main indicators here, like, LTV were absolutely in plan. On the fee income, it also developed nicely it was up €5 million or 8%, mainly driven by Aareon, and the acquisition that we did last year. That over compensated its dilution from the ongoing license to SaaS shift that will lead to increased contribution in the future. On costs, Page 10. What I mentioned earlier, can clearly be seen here we can leverage our platform and grow at very low marginal costs. Despite of the volume increase in our loan book, the costs in the bank are at least flat compared to the first quarter last year. This is how we have already achieved our 2023 target of a cost income ratio of below 40% in the SPF segment now in Q1 2022. The small cost increase of €3 million in the total cost line is therefore only coming from Aareon, and only attributable to the acquisitions done last year. Risk provisions, as said, we’re clearly overshadowed by the significant write-down of €61 million that we booked for our Russian exposure. The underlying development, however, was very favorable ex-Russia. We have even had a net reversal of €12 million risk provisions in the first quarter with the COVID crisis now beginning to fade. But, let’s have a closer look at the Russian exposure on the next slide. What are we doing in Russia, we have a small operations on the ground, rep office with 2 people, we decided to leave Russia many years ago. Since then, the exposure of originally more than €1 billion has been significantly reduced to a net €200 million by the end of the year 2021 that are 2 financing all euro denominated, and one financing had already been almost fully provisioned year end last year. The second one, as you can see it here is an office complex in Moscow, nearly fully let to international and Russian tenants. The client is able and willing to pay the DSCR as an indicator is much above 100%. So definitely covering its debt service, but currently the Russian sanctions hinder the cash transfer out of Russia that means the money is currently trapped. Therefore, and also because it matures in Q4 2022 and given that as of today, payback is uncertain, we have shifted the loan to NPL Stage 3 to determine the right level of the markdown. Obviously, there is, as you can imagine, no comparable transactions in the Moscow to derive a market price at the moment. We have analyzed other crisis and their resulting market developments. Therefore, it seems appropriate to write-down our exposure by €60 million – or €61 to around €140 million. That equals minus 50% of the last appraisals market value of the property that was just stated in October 2021. So of course, nobody has the crystal ball. But as of today, we feel comfortable. And we’ll, of course, monitor future developments closely. Coming to the NPLs. Same story here with regards to the development as with the risk provisions underlying a promising trend relief of €150 million NPLs mainly hotels that cured, but that positive development was overshadowed by this single Russian loan. Therefore, the NPL volume is slightly up to €1,623 million, so up by €50 million, that equals a 5.3% NPL ratio, but we are confident to go below the 5% within the next couple of quarters. On the next slide, however, you can find some interesting aspects about the, let’s say, in quotation or quality of our NPL book. As you are certainly aware, the NPL classification of a loan can be triggered by a number of parameters like overdue status DSCR, LTV thresholds, breaches, et cetera. And NPL classification might be triggered even if no nominal loss will be made. So interestingly enough, and you can see it here 39% of the input for NPL portfolio, have an LTV of below 100% that means in foreclosure. They would cover our interest and 48% of the portfolio have a DSCR of more than 100% that means the cash flow that is generated out of the property also covers, let’s say, the debt service. So if you, let’s say, mix it as we have done here in the pie charts below only 22% of the NPL portfolio, have an LTV of 100 and a DSCR of minus 100. So are really of minor quality or to say differently 78% of our infield exposure, have either enough operating cash flow generated out of the property itself. So that is not yet taking into account potential additional guarantee payments, or they have sufficient collateral value to cover our loan. So from my point of view, from our point of view, the conclusion is that one should not only look at the NPL ratio, but secured cash flow cash generating commercial real estate exposure clearly comes with a decent advantage compared, for example, with unsecured loan. And now over back to you, Jochen.
Jochen Klösges: Thanks, Marc. Yeah, let’s turn to the segments and start with Structured Property Finance on Page 15. I already touched on some of the key points in my introduction. The volume of new business in the first quarter was exceptionally high. The €3.3 billion that we took onto our books is the highest figure since the fourth quarter of 2018. Nevertheless, we are stacking to our annual target for new business of between €7 billion and €8 billion. It is very pleasing to report that the average gross margin for newly acquired business in the first quarter was around 220 basis points quite significantly above our own plan for this year. While the average loan to value remained very conservative at 57%. At a regional and sectoral level new business continued to be very broadly diversified, with a special focus on the very dynamic logistic asset class. On Page 16, you see the strength of new business led to a further significant increase in the portfolio, which reached €30.8 billion at the end of March. This means that we have already almost reached €1 billion increase mark set for this year. Of course, this doesn’t mean that we are about to abandon any further new business activities for this year. On the country, we will continue to take advantage of attractive opportunities when they arise. The volume of financings, which are in line with our Aareal Green Finance Framework continues to grow. Currently, our total new green financings amounted to €670 million, of which €240 million was added in the first quarter. On Page 17, you see the KPIs. I also briefly mentioned the key trends in KPIs for portfolio quality in my introduction, average LTV has improved further to 57%. From our point of view, a very healthy level indeed, even in the last years problem asset classes that means hotels and retail, we are now back below the 60% mark. Both asset classes have also contributed via noticeable recoveries to the further increase in the yield on that, which is gradually approaching its pre-COVID-19 level again. This brings us to the Banking & Digital Solutions segment on Page 18. Here we are basically on track, this applies to net commission income, but most of all, it’s reflected in the volume of deposits which at €12.9 billion at an all time high and around €1 billion higher than the previous year. Deposits for the housing industry, which are important source of funding for our financing business, once again proved to be very crisis deposits. Now, let’s turn to Aareon on Page 19. Aareon is also making progress. Our ambitious switch from a licensing to a software-as-a-service or subscription business model is going very well to date. Aareon’s SaaS campaigns are a success. More and more clients are opting for last packages, which are set to expand our recurring sales revenues in the future. Despite the temporary effect of declining license revenues, Aareon increased its quarterly sales revenue by almost 10%. Also, thanks to the acquisitions made more recently, and driven again by strong momentum in the Digital Solutions business. Adjusted EBITDA rose by 7% year-on-year, and the margin remained stable and 22%. And Aareon’s M&A pipeline remains well stocked. Aareon has access to a credit line from Aareal Bank for acquisitions, which has announced in February we have increased to €350 million. And here, I would like to hand over again to Marc on capital funding.
Marc Hess: Yeah, thank you, Jochen. Our regulatory capital ratios continue to be very solid. As you can see here, the Basel IV phase-in ratio standard 17.9%, a slight reduction versus year-end is obviously reflecting the growth of our portfolio. Nevertheless, I would like to highlight 2 facts. So one is that due to the rapid growth in Q1, not all of the new collateral has been considered yet that should be or should lead to a relief in the second quarter. And secondly, the anticipated €1.60 dividend is still deducted from CET1 capital and could be relieved if the PTO [ph] is successful, that would lead to an increase of another 0.7 points roughly in the Basel IV phase-in ratio. Funding on the next slide and here, obviously, to our strong capital ratios is one of the main pillars for our successful funding activities. As of April, we have already accomplished roughly 50% of our funding plan. For this year, we have issued €2.4 billion of long-term funding already €2 billion in benchmarks including the Senior Preferred Inaugural Green Benchmark unsecured that Jochen already mentioned. But also interesting the private placements are picking up again. And we have now already placed €400 million mainly with a focus on unsecured in the private placement area. But as you know, we have and you can see on the chart, too, very diversified funding sources, including our housing industry deposits, which are well above plan and cover one-third of our funding needs. And we are continuously working on even broadening the funding sources. So one example is our successful European Commercial Paper Program that we started in November last year, you can read it here too. We are very flexible here we offer conventional as well as green commercial paper, as we offer euro, U.S. dollar and sterling. And we have already rolled roughly €400 million this year. So very successful program. Another example of how we continue to broaden our funding sources is to follow in the second half this year. But before I disclose too much now, I better hand over to you, Jochen.
Jochen Klösges: Thanks, Marc. Yeah, which leaves me with the outlook for this year as a whole. So, on Page 24, you see the numbers here are largely unchanged from those represented at the annual press conference and our analyst conference at the 24th of February, they reflect the fact that the direct impact of the war on our markets has so far been manageable. However, how things will develop from here onwards remains to be seen. We’ve only adjusted our loss allowance forecast upwards on account of the provision for our exposure in Russia. As a result, we now expect to come out at the lower end of the published range for consolidated operating profit this year. In the event of a successful takeover bid, we will also have to take into account the transaction costs associated with it. In light of the current highly uncertain political and economic environment, it goes without saying that further burdens cannot be ruled out during the course of this year. So let me conclude by summarizing here on Page 25. We remain well on track despite a challenging market environment. Operationally, we have delivered a good first quarter. This shows that our growth strategy is bearing fruit. We are driving our various growth initiatives forward across all 3 segments consistently and according to our plan. We have already made substantial provisions for outstanding Russian exposure, whether and to what extent the indirect effects of the crisis on the economy and markets will affect us is currently very difficult to assess. And finally, Atlantic BidCo’s current takeover offer provides an attractive business perspective for Aareal Bank Group forever. We’re not dependent on it to successfully implement our own growth strategy. So at this point, I would say thank you very much for your attention, Marc and I will be very happy to answer your questions now. Thank you.
Operator: Ladies and gentlemen, at this time, we will begin the question-and-answer session. [Operator Instructions] First question is from the line of Johannes Thormann with HSBC. Please go ahead.
Johannes Thormann: Good morning, everybody. Johannes Thormann, HSBC. 3 questions if I may. First of all, could you elaborate a bit more how much of the increase in fee income is driven by M&A consolidation effects last year? And how much is underlying performance? Secondly, on your risk costs, could you give us some more details on which properties you made or releases of risk costs? And if you say that the money is trapped in Russia for the Russian loan, why did you not fully impaired, because if money is trapped, all of the loan will be trapped in Russia to be just to be prudent? And then last but not least on your new business, which was quite €3 billion. You did a great margin as well. Any higher risk you’ve taken? Or can you explain in the different property types? Which margins you have been realized? Or where I’ve been above this level and which business has been below this level? Thank you.
Jochen Klösges: Yeah. Hi, Johannes. Good morning. Thank you for your questions, obviously. Starting with the fee income of Aareon of €5 million. Your question was, how does this split between M&A contribution and underlying the M&A contribution was €5 million. So that covers the full increase. The organic growth was therefore, zero, however, and please take that into account, as we noted that, of course, this is diluted by the shift from license to SaaS. So this was covered, let’s say, about the underlying growth. Regarding risk provisions, you asked, where did we see the relief? The relief was mainly seen in Stage 2. So obviously, looking at the next figure as set apart from Russia, we had no new NPL, therefore, no new loan loss provisions were booked for Stage 3, we had a small relief here even on Stage 3. But the main relief is, let’s say, the technical one, and this is why I mentioned basically, because we see corona effects fading, and therefore this is out of Stage 2, as you know, we really built very comprehensive risk provisions over the last couple of quarters. Russia, you are asked, why don’t we fully provision for the loan here. Well, from our point of view, this would not be in accordance with the accounting standards. As you said correctly, the money is trapped by now. Nevertheless, of course, we all do not know how long this persists. On the other hand, there are clear signs that we have a, let’s say, operationally performing asset as I mentioned, the DSCR is much above 100% and very good building as such. So we decided to mark it down compared to the last value that we received in October by 50%. As I said, yeah, it’s difficult to determine is that the right level could be higher, could be lower. We all don’t know. But we feel that with this margin of 50% or 30%, let’s say on our loan. We cover the risk that we currently see. Then on the margins, we have very good margins as you know, above our plan was 220 basis points. The plan was 205, below what we have seen last year in Q1, which was an exceptional quarter. And you asked, why are the margins so comparatively high and what is the split? Well, we still see high demand, I said, they have come down compared to last year and we have not compromised on the risk. The LTV, as I just mentioned is at 57%, so exactly in line with plan. And if you’re looking at the mix, both by country and by type, you can also see that North America only had 18% this quarter, typically we roughly have one-third and logistics is up to one-third. So here even these are countries and property types, which typically have the country North America, higher margins; and logistics, lower margins. So, therefore, we are very pleased that we were still able to achieve the 220 basis points.
Johannes Thormann: Okay. Thank you.
Jochen Klösges: Thank you.
Operator: [Operator Instructions] The next question is from the line of Timo Dums with DZ Bank. Please go ahead.
Timo Dums: Yes. Hi, good morning. I have 3 questions as well, please. So could you please provide a duration or weighted average life of the 2 financings in Russia? I mean, looking at your statement that you did the last new business in Russia back in 2012. I would expect that they may expire soon. And I was also curious in why you’re only reclassified only one of those 2 financings to Stage 3? Because, I mean, the Russian sanctions, they should apply to both financings. Just if you could give some more color on that. Let’s maybe start with this first question let’s take it from there, please.
Jochen Klösges: So, good morning. Yeah. I guess, regarding the duration average, so we usually don’t disclose details on all of our loan agreements. But that our exposure in Russia, as since many years in a rundown mode, and therefore, you can assume that we would have expected a repayment of the loan rather in a short-term period of time, than a longtime period of time if the Russian crisis would have not really started. So probably, we’re going to discuss this with the clients again, in the last quarter of this year, at the end of the day or the day, we will be pretty clear saying that it’s going to be complicated to see a refinancing of loans in general in Russia. And that’s one more reason why we finally put it into Stage 3 that which answers part of your second question. So we already announced and disclosed at the end of February on our analyst conference that we have to basically have 2 exposures, different exposures in Russia, one smaller exposure, completely written off on the remaining part of €1 million left, and that was already for a number of years in Stage 3. And now we decided to put the other one also in Stage 3 at the end of this quarter. So each and every loan amount out of exposure in Russia is nowadays in Stage 3.
Timo Dums: Okay. Understood. That helps. Then let’s move on to the second question. So, on your risk guidance, so you change that now to €140 million to €180 million for this year. If I adjust for the €60 million increase related to Russia, this would correspond to €80 million to €120 million, which is below the previous guidance. And you also stated that basically what I imply that basically with the €60 million increase in Russia, that should be more or less everything to Russia? So I was wondering what is it no further impact from the war in Ukraine, also, not only limited to your Russian exposure, but also potentially impact on hotels, logistics, maybe in your Northern European portfolio that maybe you could elaborate on that? Thank you.
Marc Hess: Yes, obviously, you did the math, which would have increased if we hadn’t seen anything else on the positive side, the range to €160 to €200. But as you have seen in the first quarter, the underlying development was very good. So you can imagine, I mean, we have never talked about the plan, but we were better than originally planned. And this is deducted; therefore, we have not increased it by the full €60 million that we had to digest in the first quarter. Jochen just said, it’s always difficult, of course, to evaluate and assess impacts on the portfolio, especially as we are living in a very volatile situation and environment. However, if we are looking, let’s say, at the latest macro economic forecast, we always rely here on external expectations. We don’t have our internal forecast, which I think is a good thing. So nobody is distracted. We have, of course, taken that already into account, calculating our future risk provisions, so no negative effects on that side. I think that is a very good message, looking, let’s say, at the exposures you asked, which are closer to Russia. So here we are, especially in Poland, something in the Czech Republic, but we currently see no negative impact, it’s – to be honest, just the opposite, especially when we’re looking at Poland. What we’re seeing here is more demand, because let’s call it near shoring is taking place out of the Ukraine, many operations move into Poland, to reestablish or relocate their business and Poland should also be one of the main beneficiaries once rebuilding of Ukraine starts. Therefore, we have currently no negative indications with regards to our limited Central and Eastern European exposure.
Timo Dums: Okay, thank you. What does then also be reflected going forward in your new business, and we got to the regional selection, that you may want to push your business in Poland, for instance?
Marc Hess: No, we wouldn’t push it. But we would also not slow it down. I think we have a regional mix, that we planned and that we monitor consistently. Currently, we have no indications that it would be appropriate to deviate from our plan.
Timo Dums: Okay, understood. Thank you. So my last question is on the activist investor. So, I mean, it looks like the activist investors who have been quite vocally opposing your business strategy in the past. They are also now on board in the current takeover bid. So I was wondering if this means that they are also now supporting your strategy, including Aareal Next Level or maybe increase with additional staff. And I was also wondering if you had any interaction with the activist investors, then the thoughts of the takeover bid or shortly before. Thank you.
Jochen Klösges: Yeah, so regarding these shareholders, of course, currently so – first and foremost, I guess, if you want to know something about that stands about our strategy, please ask them, I guess, they’re much better served than I am, regarding this question. However, you see, we announced after our analyst conference end of February that we’re now going into dialogue with all of our shareholders, that’s what we did, of course, also with these shareholders, so we discussed and debated our strategy, our plans, et cetera, et cetera. And now you finally see the outcome, they are going to be part of the Bidder consortium. So you know that the investment agreement we negotiated last year with Centerbridge and Advent is still the basis for the newest approach now. And I would assume that each and every shareholder who is part of the Bidder consortium is very much aware about the content and the strategy, which is written down in that paper. And, therefore, I guess that that we are now here seeing a Bidder consortium, which is completely aligned on the bid, and that’s important for us. But again, if you want to see what is their view on our consortium, please. I would really say talk to them, I guess, they are the much better source for answering that question than we are. Thank you.
Operator: There are no further questions at this time. I would like to hand back to Jochen Klösges for closing comments.
Jochen Klösges: Yeah, thank you very much for participating today. For me important to mention, you see, of course, the development in Ukraine crusher is first and foremost, I guess, a surprise to most people. Second, it’s really a very sad development we saw, and it’s not only when I take a look at our figures, but also when I take a look what’s going on a daily basis. And when you see the news, this is something which really overshadows everything, which we usually see more or less positive. But again, for it’s important to note, that the Aareal Bank is now coping with the pandemic situation, since for almost now 2 years, I would say. Secondly, there was, of course, a certain amount of attention on the talks with the private equity investors during the last couple of weeks and months. And having that in mind, you see that our troops were really able to deliver good results. And that is true, I guess, for the last year, but we see a clear upward trend and now also for the first quarter of this year. And that’s an important point for me here at Aareal Bank Group everybody is really willing and able to go the extra mile to do everything, which is then supporting our strategy. And that’s, I guess, remarkable situation to see such a strong operating development having mind all these extra challenges we are facing currently. And this is something which for me, personally is very important to have in mind. And so, I guess, now everybody is of course focused on the outcome of the public takeover offer. And let’s see how the result we’ll see will be at the 24th of May. And thanks for your participation today and asking your questions. And hope to see you soon. Thank you very much. Bye-bye.
Operator: Ladies and gentlemen, the conference is now concluded. And you may disconnect your telephone. Thanks for joining and have a pleasant day. Good bye.